Operator: Thank you for standing by. This is the conference operator. Welcome to the DIRTT Environmental Solutions 2022 Q3 Financial Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Cassondra Dickin, Director of Strategic Marketing. Please go ahead.
Cassondra Dickin: Thank you, operator, and good afternoon, everyone. Welcome to today’s call to discuss DIRTT’s third quarter 2022 results. Joining me on the call today are Benjamin Urban, DIRTT’s CEO; and Brad Little, CFO. Today’s prepared remarks are accompanied by presentation slides. To access the slides, please view them from the web page of this webcast or on our website at dirtt.com. Today’s call will include forward-looking statements within the meaning of applicable Canadian and United States securities laws. These statements are based on the company’s current intent, expectations and projections. They are not guarantees of future performance. In addition, this call will reference non-GAAP results, excluding special items. Please reference our Form 10-Q as filed on November 14, 2022, with the Securities and Exchange Commission, or SEC, and other reports and filings with the SEC for information regarding forward-looking statements and reconciliations of non-GAAP results to GAAP results. I will also remind you that this webcast is being recorded, and a replay will be available tomorrow. I’ll now turn the call over to Benjamin.
Benjamin Urban: Thank you, Cassondra, and good afternoon, everyone. It is my pleasure to be joining you today following my first full quarter as DIRTT’s CEO. I’m excited to share with you many of the outcomes of the transformational progress we have made in DIRTT in the last quarter. It is through the diligent efforts of all the dynamic employees here at DIRTT that have driven the success in these achievements. Externally, I have spent much of my time with the company on the road with our partners and end customers, listening carefully and collaborating with them in evaluating ways to successfully grow our businesses together. In-house, I’ve worked closely with our Board in building out our extended leadership team. We remain focused on developing a cross-functional team adept in leadership, communication and passion for our people and our partners. It was through this lens that guided our recruitment of each of the newly appointed executives and with the recent hire of Jeff Dopheide as Chief Revenue Officer. I’m excited to say that our team is largely in place. Also internally, we have been focused on improving our service levels, cost structure and restructuring the business in response to many of the macroeconomic conditions our industry is currently facing, and we are starting to see the benefits of our actions resulting in improvements in virtually all of our measurable financial metrics. These improvements show that through the actions taken by our management team, we have been able to affect the business favorably for long-term growth as well as illuminate further areas for refinement. We have also been focused on stabilizing cash flow, which improved during the quarter, and strengthening our balance sheet. As we announced today, and as Brad will talk about in more detail, we have launched a private placement offering with our two largest shareholders as well as all directors and officers, demonstrating our confidence in the long-term growth capabilities of our company. This modest capital raise, along with several other strategic cash initiatives, will help provide runway as we approach adjusted EBITDA and cash flow breakeven levels of operations while continuing to invest in our business. Before I talk about operations, I want to start with safety, something we take very seriously. We are proud to report that we were incident-free in the third quarter and have now gone over one million hours without an incident. Nothing is more important, including profit, than sending our people home each day in the same condition they arrived. During this last quarter, we made the decisions to temporarily close the Rock Hill facility, discontinue our Reflect product line and further reduce headcount in our back office. These decisions are never made lightly and were all done to align our cost structure with current demand and order pace. Further, within our manufacturing and supply chain organizations, we have worked to improve accuracy and efficiency, leading to lower deficiencies and improved lead time performance. The improvement in our third quarter gross margins are a direct result of these actions. At the forefront of all that we do is our commitment to our construction partners and our support of their respective businesses. As I mentioned, I’ve spent a good portion of the third quarter in the field with our clients, partners and sales reps, and it is even more clear this is the area we need to direct our efforts. Nearly all of our partners are investing in their own businesses by adding headcount and investing in their DIRTT Experience Centers. Our partners are also showing strong growth with multiple large project wins with outstanding companies like Google, Allina Health and several other leading global corporations. We have also added new construction partners in the last quarter, along with existing partners that are seeing successful growth through expansion. Similarly to our partners’ investment, we have also put further resources towards the commercial business, including our new Chief Revenue Officer, Jeff Dopheide, who brings a wealth of knowledge and experience within our construction industry. In addition to Jeff, we have also added additional partner support resources, focused our direct sales force, added sales representatives and continued furthering our efforts towards onboarding strategic partners that will drive business directly to our construction partners. Lastly, but certainly not least, innovation is a critical component of DIRTT that has been part of our DNA since inception. We have made great strides in narrowing our focus on innovation, both within our solutions as well as through our ICE software. These renewed communication lanes have allowed us to better prioritize those innovations that drive the greatest impact to our partners and customers. The return of one of DIRTT’s founders, Geoff Gosling, is also greatly helping with both innovation and improved communication with our partner and internal sales channel. While our numbers have improved from last year and the second quarter, we are not where we want to be and are tirelessly working to continue to improve. As we look forward to the fourth quarter and into 2023, regardless of the challenges that lie ahead, I greatly believe in DIRTT and the high value we bring to our clients through our wonderful solution offerings. I’ll now turn it over to Brad to provide some further financial color on the quarter and items I’ve discussed.
Brad Little: Thank you, Benjamin, and good afternoon. As is customary, we’ve issued this press release discussing our third quarter results and provided additional analysis in the supplemental information, which is now posted on our website. My comments this afternoon are designed to add additional color on our financial results for the quarter as well as the various liquidity initiatives we currently have in flight. Revenues for the third quarter were $46.7 million, an increase of 5% and 37% over the second quarter of 2022 and the third quarter of 2021, respectively. The improvement over the prior year is driven primarily by increased demand for our products, while the majority of the sequential quarter growth is related to commercial discipline. As you are aware, we have announced and successfully implemented several price increases over the past year. These price increases have allowed us to catch up to a prolonged inflationary environment in which most of our input costs have significantly risen especially since early 2021. These not only include raw material costs such as aluminum and wood, but also transportation and labor costs. Volumes have remained relatively consistent between the second and third quarters of 2022. And while our pipeline has increased by 10% from July 1 to October 1 and our project win rates have generally improved during that same time period, we have experienced higher-than-usual push-out rates on orders, a trend that many other construction and product companies are seeing as well. We believe the primary factor has been job site readiness. In addition to labor shortages and supply chain disruptions, we believe that rising interest rates have contributed to commercial loan timing. Further, rising material input costs have forced many contractors to reevaluate pricing and product profitability. These factors have all served as stretched construction schedules and by extension, the timing at which our products are ordered. We believe these trends will normalize over time. Gross margin for the quarter increased 780 basis points to 15% from 7.2% for the same period in 2021. And similarly, adjusted gross profit margin increased 770 basis points to 21.7% from 14% in the same period in 2021. The improved margin is due to more efficient pass-through of the rising material input costs due to price increases just discussed as well as improved leverage from increased volume and better manufacturing efficiencies. Our third quarter gross profit margin includes approximately $2 million or 4% of revenue and non-cash charges associated with the write-down and accelerated depreciation of discontinued product lines, primarily our Reflect line. Our gross margins were also favorably impacted by the strengthening U.S. dollar versus the Canadian dollar. This favorably impacted our third quarter gross margins by about $600,000 or 1% of revenue. As compared to the second quarter of 2022, our gross profit margin increased approximately 100 basis points despite the net unfavorable impact of these unique items. Related to operating expenses, we have seen decreases across all of our normal back-office operating expense line items, mostly due to cost reduction initiatives implemented throughout the year as well as lower professional service fees and discretionary spend within G&A. The cost reduction initiatives primarily consisted of reduction in workforce earlier in the year. During the quarter, we incurred $3.4 million in reorganization costs attributed to these workforce reductions as well as the temporary suspension of the Rock Hill facility and leadership changes. We expect the pace of reorganization expenditures to decline in the fourth and subsequent quarters. Adjusted EBITDA for the quarter improved to a $5.4 million loss from a $13.3 million loss in the same period of 2021, driven by improved volume and demand as well as the reduction in operating expenses and improvements in gross profit margin I’ve just discussed. You can find further detail on these as well as other financial statement fluctuations in our investor presentation deck, which again is published on our website. Turning to liquidity. There is no larger priority I have right now than strengthening our balance sheet through improved financial results and implementing a number of strategic initiatives designed to drive improved cash flow. We finished the quarter with $15.8 million in liquidity, including $6.8 million of unrestricted cash compared to $60.3 million at December 31, 2021. Net working capital at the end of the quarter was $26.9 million, and we used approximately $12.5 million in cash in the third quarter, which included the $3.4 million of one-time reorganization costs just discussed. Availability under our asset-backed credit facility stands at $9 million at the end of the quarter. We did not need to draw on that facility in the third quarter and have not to date during the fourth quarter either. I am also pleased to report that as of October 31, cash on hand remained flat at $6.7 million due to the improved operating results as well as good working capital conversion. From an operational standpoint, we have seen improvement in monthly cash usage, especially into early fourth quarter. We have been focused on reducing inventory where possible and are actively negotiating and, in some cases, better enforcing the underlying commercial terms with both customers and vendors.. We are offering customer-friendly incentives for those customers in good standing, including the ability to take advantage of modest discounts for early payment of receivables. In addition to the cash impact from operations, we are also implementing or evaluating several strategic initiatives meant to infuse the business with additional cash and demonstrate improved balance sheet health. First, during the third quarter, as a result of the recently announced employee retention tax credit program by the United States, we recognized a tax receivable of $7.1 million. This tax credit rewards those companies that maintain payroll throughout the pandemic despite rapidly declining revenues. Second, we have certain company-owned properties that we are evaluating from a sale-leaseback standpoint. Important to note that we do not intend to vacate these premises as they still serve a critical aspect of our value proposition. Third, in recognizing the growth and opportunities around the ICE software platform, we are evaluating multiple strategic initiatives in order to advance DIRTT’s long-term vision around this platform. Collectively, we expect these initiatives to generate meaningful cash flow during 2023. Finally, as Benjamin spoke about earlier, today, we announced the launch of a private placement to our two largest shareholders and all directors and officers to issue up to 8.8 million shares with expected gross proceeds of up to $4 million, subject to certain pricing mechanisms that are mentioned in our press release. In connection with this placement, the two shareholders subscribing to this issuance have also irrevocably committed to backstopping any future rights offering occurring by the company in the next 12 months in the amount of $1 million in the aggregate and a shortfall, if any, between the maximum anticipated gross proceeds under the private placement and the actual gross proceeds amounts received by the company upon closing. This capital raise is meant to be minimally dilutive and is expected to bridge the gap between now and the strategic cash initiatives just discussed. We expect this offering to close within the next week. In closing, we have assessed the company’s liquidity using multiple downside and upside scenarios, taking into account our improved sales outlook for the next 12 months, the realization of our price increases and cost reductions and the strategic initiatives I’ve just described. And in combination with the existing cash balance and available credit facilities, we believe we have sufficient liquidity for the next 12 months. And now we’ll open the call for your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Greg Palm with Craig-Hallum. Your line is open.
Greg Palm: Yes. Thanks for taking the questions here. I guess I wanted to start, Benjamin, it sounds like you’ve been pretty busy these last couple of months, and I just maybe want to get a broad overview of what have you learned as you’ve traveled across and met with partners and customers? What’s surprised you? What do you think are sort of the biggest kind of near and mid-term opportunities for the company?
Benjamin Urban: Greg, yes, thank you for that question. Yes, I’ve spent a significant portion of this last quarter in the field with our partners and our customers. And really, Greg, the things that I think stood out more than anything that was not unexpected, but not to that level was the – I guess, bullishness of our partner community and the amounts that they’re investing in their own staff as well as their experience centers. Most of our partners are typically on a bit of a cycle with refreshes, but this is the first time, I think, I’ve seen that many of them all, a, putting money into their own real estate, but then also nearly all of them are hiring additional staff to satisfy the demand of the DIRTT projects that they’re pursuing. In addition to the ones that they’ve actually closed, we’ve had significant projects of multiple million dollar sizes that have been awarded between now and into 2024. They require those additional resources. So, I think that was the thing that I noticed that was probably most interesting on the partner side. With regards to our customers, I too have spent quite a bit of time across North America with many different customers. And what I’ve seen is, they’re, I would say, in a better understanding of where DIRTT’s value proposition is with regards to uncertainty and that they are also investing in us knowing that they don’t know what the future holds, right? And that kind of realization is much more – that’s, I guess, what’s the right word is much more current than it has been historically.
Greg Palm: Yes. Interesting. Our – as you talk to partners and customers, I mean, it seems to me, at least based on the commentary, that demand is actually pretty good. And in light of all the headlines, we’re all reading and seeing every day, does that surprise you? Do you think that just from an end market standpoint and a product standpoint that the cycle for what you do is a little bit different? Or do you think maybe that you’re seeing some momentum more or less share gain opportunities that are maybe contributing to some of this?
Benjamin Urban: Yes, Greg, I think it’s really threefold. One is you’re absolutely right that I won’t say we’re insulated from macro forces, but I will say that due to the specialized nature and the higher-end build-outs that we participate in, they aren’t necessarily as affected as greatly as is commodity products in certain general construction. So I think that’s part of it. I think you’re right also in that we are seeing organic growth throughout our partner community with a new partners, but then via also some of our veteran partners that are experiencing that growth directly. So it’s a combination of those two. I’m going to let Brad comment a little bit with regards to some of the things that we track and in the market in general.
Brad Little: Yes, Benjamin. When we look at the AIA for mixed index, it’s been above 50 for several months in a row now. And then where we sit in the normal construction cycle, the work that we’re delivering now and over the next three to six months of projects that commenced or kicked off, about a year, maybe a little less to go. So we’re actively looking at new construction starts very closely and staying close with our partners to really understand their quoting volume. And we made decisions in the cost reduction initiatives earlier in the year to realign our cost structure. And the cost structure that we have realigned to is sufficient to support kind of the demand that we’re seeing.
Greg Palm: And do you have any idea – I’m sure you’re tracking this somewhat. But in terms of the pipeline, a, what is the breakout of new versus customers that you’ve dealt with before? And then – but more importantly, just sort of the growth in potential new customers as a whole. I mean is that something that you’re tracking and talk about or not?
Benjamin Urban: Yes. So Greg, as far as a percentage, I don’t have 1 off hand of exactly what that is of new versus existing customer base. But I can say that a good portion of fees – well, actually not a good portion, I will say, it’s actually fairly closely split between existing customers that have awarded us projects that are of, we’ll just call it, that are material enough over the next 12 to 24 months that are of note with that, and it’s been interesting seeing the section of the vertical where these other projects are coming from. We’re also seeing growth in the health care vertical over the next 12 to 24 months with some fairly massive sized projects. And they’re interesting because they are somewhat – I’m not, like I said earlier, not insulated but they’re on an entirely different cycle than traditional construction in the commercial space. So we’ve really been – to answer your question, we’ve been really seeing about half and half of net new customers, right, of that size and then returning customers that are also long-time DIRTT supporters.
Greg Palm: Okay. Good. And then last one and I’ll hop back in the queue. Maybe I missed it, but did you talk about the fiscal year 2022 guidance at all? I don’t know if you reiterated that or if you talked about that. And then is the expectation still to be breakeven adjusted EBITDA in Q4 based on everything we know today?
Benjamin Urban: Yes. Yes, Greg. So we were generally silent to it this time around. It’s – there’s been no significant changes to the guidance. Right now, as we look out into the fourth quarter, it’s looking flattish versus the third quarter from a revenue standpoint, which puts us right near the low end of the range that we previously said. Candidly, as a management team, we’re getting our hands around the pipeline and furthering our understanding of that.
Greg Palm: And what about breakeven on an adjusted EBITDA basis?
Benjamin Urban: Yes. We have line of sight to breaking even in the fourth quarter at the EBITDA line and potentially at the cash flow line in the fourth quarter. Correct. And I will say that the original – the revenue is even at a slightly lower revenue number than what we had previously contemplated in our guidance through the efforts and the cost reduction initiatives and through the price increases and through just the manufacturing efficiencies that we’re seeing. We’re realizing that the breakeven point is a bit lower than what we previously contemplated.
Greg Palm: Okay, good to hear. All right well, best of luck. Congrats on the progress so far.
Benjamin Urban: Thank you, Greg.
Geoff Krause: Thanks, Greg. Appreciate it.
Operator: Thank you. [Operator Instructions] I’m showing no further questions in the queue. I would now like to turn the call back over to Benjamin for closing remarks.
Benjamin Urban: Thank you. I’d like to thank you all for joining us today, and I look forward to speaking more with you as we continue through this transitionary period. I speak on behalf of our more than 900-person team here at DIRTT, we are committed to continuing to move this organization forward and believe strongly that our best days are ahead of us. We look forward to talking with you again either on the road or at our next quarterly earnings call.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.